Operator: Ladies and gentlemen, thank you for standing by. My name is Krista, and I will be your conference operator today. At this time, I would like to welcome you to the Canada Goose Third Quarter Fiscal Year 2026 Earnings Conference Call. [Operator Instructions] I would now like to turn the conference over to Ana Raman, Vice President, Investor Relations. Ana, you may begin.
Ana Raman: Good morning, everyone, and thank you for joining us today on the Canada Goose Q3 Fiscal 2026 Earnings Call. Today, you'll hear from Dani Reiss, our Chairman and CEO; Neil Bowden, Chief Financial Officer; Carrie Baker, President of Brand and Commercial; and Beth Clymer, President, Chief Operating Officer. We'll start with prepared remarks from Dani and Neil and then open up the call for questions. Today's presentation will contain forward-looking statements that are based on assumptions and therefore, subject to risks and uncertainties that could cause actual results to differ materially from those projected. We undertake no obligation to update these statements, except as required by law. You can read about these assumptions, risks and uncertainties in our press release issued this morning and our filings with U.S. and Canadian regulators. These documents are also available on the Investor Relations section of our website. We report in Canadian dollars, so the amounts discussed today are in Canadian dollars unless otherwise indicated. Please note, the financial results described on today's call will compare third quarter results ended December 28, 2025, with the same period ended December 29, 2024, and stated percent changes are in constant currency, unless otherwise noted. Lastly, our commentary today will also include certain non-IFRS financial measures, which are reconciled at the end of our earnings press release. With that, I'll turn the call over to Dani.
Dani Reiss: Thanks, Ana, and good morning. At the start of fiscal 2026, we made a deliberate decision to invest ahead of demand. We did that to unlock long-term potential by expanding product relevance, strengthening brand equity and building the channel and geographic foundations we need for long-term growth. Those choices contributed meaningfully to our top line in Q3, which you can see clearly in our DTC business, where we delivered our fourth consecutive quarter of positive comparable sales growth. This is tangible proof that these strategic investments are fueling sustainable top line growth. We delivered strong revenue growth across channels and regions in our most impactful quarter, reflecting the momentum building behind the brand and the high level of execution across the whole company. These results also reinforce the consistency of the levers we are activating through our intentional investments driving traffic and conversion and evolving product mix. While we are pleased with the top line performance and our brand momentum, our adjusted EBIT margin contracted meaningfully. Neil will walk you through the drivers behind the margin movement and actions underway to rebuild profitability. We have made real progress in reducing corporate overhead in recent years, but Q3 showed that we have more work to do. I am committed to returning Canada Goose to margin expansion, and I'm confident in our ability to do so in fiscal '27. To be clear, delivering strong and sustainable profitability is my top priority for our organization. The best indicator of our long-term trajectory is our progress against the 4 operating imperatives we set out at the start of the year, and here's where we stand. First, expanding our product to enhance year-round relevance. In Q3, our expanded year-round assortment continued to resonate with consumers. Lighter-weight styles drove growth while down-filled outerwear remains a clear market leader in warmth, posting solid gains. Styles featuring newer fabrics like EnduraLuxe and Wool did exactly what we intended, elevating design, performance and consumer response. Newness, both in the form of new styles like our bomber jackets and new fabrics and colorways in core silhouettes performed strongly. Revenue from newness doubled year-over-year, driving high unit sales velocity across lighter weight styles, including our apparel assortment and Snow Goose collection designed by Haider Ackermann. Snow Goose also serves as a halo for the main collection and led to brand equity enhancement across the line. This broader offering contributed to a lift in both store traffic and conversion. Consumers aren't just responding to new styles and fabrications, they're responding to the elevated design direction we brought to the line this year. That's central to our long-term goal of growth in all seasons, building lasting relationships with customers and leveraging the brand's economic strength. We're very encouraged by this momentum and are progressing well with our Spring/Summer '26 collection and upcoming campaigns, which will now start to feature greater design oversight from [ here ]. Second, building brand heat through focused marketing investments. In Q3, our marketing investments delivered a clear commercial impact. We increased visibility and cultural relevance through global campaigns and high-value activations over 3 key marketing moments, the launch of our fall/winter '25 and Snow Goose collections and our holiday season campaign. This integrated approach drove higher quality traffic across retail and digital channels globally and supported the top line performance we delivered. Brand desire, brand momentum and social media velocity all moved in the right direction, supported by the intentional shift we made towards upper funnel investment this year. Brand desire exceeded our competitive benchmark in our key focus markets, especially Mainland China, with both paid and nonpaid reach as well as [indiscernible], outperforming targets. At the same time, lower funnel efficiency strengthened significantly. Despite a planned reduction in lower funnel spend, we saw a year-over-year increase in repeat customers and delivered higher return on ad spend, reinforcing brand heat and conversion. Together, this shows that our marketing strategy is working as designed, building brand heat for the long term while maintaining disciplined efficiency in the lower funnel. We intend to continue our planned brand investments through the remainder of this fiscal year and build on our success to date, starting with our second winter Snow Goose [ drop ], which launched in mid-January. As we do, we're sharpening marketing efficiency and measurement. We're tightening our media mix for more scalable impact, improving targeting and increasing alignment of our measurement architecture across the entire organization in order to achieve greater capital allocation discipline. Third, driving business expansion through strategic channel development. I'll first address our direct-to-consumer channel. Direct-to-consumer revenue grew 13% in the third quarter with comparable sales up 6% over last year. North America and Asia Pacific delivered double-digit growth. In Mainland China, our teams drove high conversion through the quarter, proof of both brand strength and strong retail execution. In Europe, we elevated key flagships, including the strategic relocation of our Milan store in the quarter, which has stronger adjacencies and with that is seeing higher traffic quality. We continue to refine our retail network across other key regions in the third quarter, opening 2 stores in China and a new store in Chicago. Operationally, the teams delivered outstanding service and stronger visual merchandising. Our inventory was well positioned across channels, and we responded quickly to the demand signals we saw through the fall, adjusting buys and production to meet that strength. While we had pockets of sold-out styles, that scarcity is part of what has always made our brand powerful. This has been a meaningful step forward in how we manage inventory with more disciplined planning and faster response across the business. Online improvements in discovery, navigation, speed and storytelling all contributed to stronger engagement and lower return rates across most regions. In our Wholesale channel, revenue grew 14% in the third quarter, largely due to shipments shifting from Q2 to Q3 and incremental in-season demand. We also saw improved sell-through of our fall/winter collection, supporting positive sales trends in the quarter. Our disciplined approach remains consistent, brand aligned partners, clean channel inventory and product newness, all contributing to healthy order books for both spring and fall '26 that reflect stronger demand for our year-round assortment. Wholesale continues to play a strategic role in brand elevation and control distribution, and we are pleased with our progress here in fiscal 2026. And fourth, operating efficiently with pace and accountability. In fiscal '26, we deliberately chose to invest in revenue-driving areas. These choices strengthen demand, but we did not strike the balance right with margin, and that showed up as cost inflation across parts of the business. Q3 made that clear. SG&A grew ahead of revenue and labor costs ran above productivity. We now sharpen our focus on leverage. Importantly, we've driven a second consecutive year of leverage in corporate overhead costs, reversing what had previously been a source of margin decline. This improvement reflects both tighter cost discipline and strong revenue growth, and it gives us a solid foundation to build from. We're also embedding greater operating discipline across the company and continue to evolve our leadership team to ensure we are fit for purpose. In closing, the third quarter demonstrated the strength of our brand and progress of our strategy. We remain focused on executing with precision, improving profitability and driving sustainable long-term growth. Thank you to our teams for everything you put into this peak season. Your passion, resilience and commitment move this company forward every single day. I'll pass it to Neil to provide our third quarter financial update.
Neil Bowden: Thanks, Dani, and good morning. First, I'll cover the details of our third quarter performance and then outline the concrete actions underway to deliver operating margin expansion over the long term. Revenue for the third quarter increased 13% year-over-year to $695 million, led by strong growth in both DTC and Wholesale in North America and Asia Pacific. Turning to channel performance. DTC revenue increased 13%, supported by double-digit growth in North America and Asia Pacific. Comparable sales grew 6%, marking the fourth consecutive quarter of positive comps with contributions from both stores and e-commerce channels. Sales were strong across all major product categories. Wholesale revenue increased 14% in Q3, with revenue up 3% on a year-to-date basis over the same period last year, ahead of our expectations, supported by elevated brand positioning with our partners, well-managed inventory levels and healthier demand for our year-round assortment. Revenue in our other channel was $15 million, roughly flat versus $14 million a year ago. Moving to regional trends. In North America, revenue grew 20%. Comparable sales increased in the high single digits, supported by strong traffic in both Canada and the U.S. and conversion improvement. Retail execution was sharper this quarter, underpinned by staffing investments and improved inventory positioning. E-commerce also contributed to positive DTC performance, benefiting from solid traffic trends throughout the quarter. Wholesale benefited from shipment timing and incremental orders and other channel performance was also positive, albeit minimal in the quarter. In APAC, revenue increased 12%, led by strong DTC performance and high single-digit comp growth driven by exceptional volume. Mainland China was the largest contributor with robust consumer demand, strong e-commerce momentum on Douyin and Tmall and conversion gains in several key stores. In EMEA, revenue declined 3% year-over-year, reflecting continued softness in the U.K. consumer environment. Continental Europe performed comparatively better as our newly relocated Paris and Milan stores ramp up their activity. Comparable sales decreased mainly due to lower tourist traffic, most pronounced in the U.K. despite healthier trends in several European locations. Wholesale was softer due to planned shipment phasing that pushed more deliveries into different periods versus last year. Our focus in EMEA remains on improving conversion, tightening digital execution and sharpening marketing effectiveness to mitigate ongoing macro headwinds. Moving down the income statement, let's turn to gross profit. In Q3, gross profit grew in line with revenue and gross margin declined 40 basis points year-over-year. The primary driver was product mix. While customer demand for down-filled outerwear was strong this quarter, non-down-filled outerwear grew faster, putting pressure on overall margin. This is consistent with our strategy to expand year-round assortment. This was partially offset by a favorable channel mix with another quarter of positive DTC comp growth. While this product mix shift weighed on DTC channel margin, it supported margin in our Wholesale business as we build demand for our expanded offering with wholesale partners. Moving to SG&A. SG&A increased by $66 million to $314 million or 45% of revenue, up 450 basis points year-over-year. Two discrete items accounted for $24 million of this increase. First, a $15 million onetime bad debt provision related to a U.S. wholesale partner and a $9 million foreign exchange gain in fiscal '25 that does not recur this year. Planned marketing investments represented a further $13 million of the increase year-over-year. Outside of these items, we continue to generate leverage in our corporate cost base through disciplined headcount management and tight control over discretionary spending. Operating margin compression in our DTC channel came from both gross margin decline and SG&A investments to fuel growth. Our Wholesale channel operating margin increased year-over-year, excluding the bad debt provision. In DTC, we absorbed the planned run rate impact of new stores and relocations coming online, but the larger issue was store labor productivity during the quarter. In months of exceptionally strong traffic and revenue, we maintained labor levels that were higher than required to support demand, and this dynamic drove SG&A deleverage in DTC. Taken together, the gross margin dynamics and SG&A profile flowed through impacting our adjusted EBIT. Q3 adjusted EBIT was $204 million. This translated to an adjusted EBIT margin of 29.3%, 450 basis points lower than the previous year for the reasons I've covered. Adjusted EBIT excluded $3.5 million in earn-out costs related to the acquisition of our European manufacturer. This is the last quarter in which we'll have the earn-out related charges. Adjusted net income attributable to shareholders was $142 million or $1.43 per diluted share compared to $148 million or $1.51 per diluted share last year. We ended the quarter with a strong balance sheet. Inventory of $409 million remained relatively flat year-over-year despite strong sales growth, reflecting strong demand and tighter inventory management with turns improving to 1.1x, up 16% from last year. Net debt fell to $413 million from $546 million in Q3 last year, mainly due to disciplined working capital management, cash generated from operating activities in recent quarters and lower borrowings from our credit facilities compared to the prior year. We allocated more capital to new store builds in Q3, reflected in higher expenditures in the quarter over last year. As we look ahead, we're taking decisive steps to realign our cost base with the level of rigor our growth now demands. We've defined a clear set of actions already underway, and we expect these initiatives to support meaningful margin expansion in fiscal '27. Our first group of actions is about operating more efficiently. We've already started to make changes in the way we manage store labor, tightening our models to become more agile and drive higher labor productivity. These changes were implemented in Asia Pacific in mid-December and rolled out across the rest of the regions in January. While the financial impact will be immaterial in fiscal '26, ensuring that store payroll aligns with expected conversion outcomes is the clear path forward to creating leverage in the DTC channel. Next, we're improving marketing efficiency with the intent to reduce marketing as a percentage of revenue in fiscal '27. We will continue to invest to drive in-quarter demand and sustain brand momentum and expect to apply this year's learnings on channel mix, funnel allocation and working dollar effectiveness to our fiscal '27 plans. We are fully committed to delivering on our operating imperative and a key part of that is driving more efficiency and getting greater returns from every dollar we invest in marketing. Spending in the fourth quarter is expected to be lower than last year as a percentage of revenue, reflecting a more balanced cadence throughout this fiscal year versus the back half heavy investment last year. We will also continue our disciplined focus on minimal corporate expense growth, including headcount and discretionary spend. Our second area of focus is the optimization of our retail network. We continue to evaluate our store footprint to ensure every location supports our target brand and margin profile. Even with 4 consecutive quarters of positive comp growth, we see opportunities to further strengthen the economics of our retail network. To be clear, we will open new stores in fiscal ' 27 and the plans related to those locations are coming into focus. However, over the balance of this fiscal year, we are reviewing our entire network and expect to implement optimization initiatives in fiscal '27. Our third set of actions is centered around gross margin. This has had a modest positive contribution to EBIT margin so far this year even with limited price increases. Being vertically integrated is a core strength of the Canada Goose brand, offering several levers to expand gross margin over time, which has been evidenced in our historical performance going back many years. While there are always opportunities with sourcing and operational improvements, we have delivered cost efficiencies despite a changing product mix, which, as we have heard, has been key to our growth this year and will continue to anchor our product pillar. Finally, on pricing, we are planning to implement price changes across our markets and product assortment in early fiscal '27 as usual, which we expect will be a source of gross margin leverage. Lastly, our plan is to continue to deliver durable broad-based revenue growth as the primary driver of margin expansion. January performance remains strong, and we expect this momentum to continue with Lunar New Year shopping occurring later in the quarter versus last year. As we move into Q4 and beyond, our priorities are clear: balance the strong revenue growth we have seen in fiscal '26 with a level of investment that delivers operating margin expansion beginning in fiscal '27. Before closing, I want to say thank you to our teams. Our peak season, of which Q3 is the most important period is our most anticipated time of the year. The work you delivered in our stores, our factories and across our business shows up clearly in these results. Let's now open the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Oliver Chen with TD Cowen.
Oliver Chen: As we look at your DTC progress, what was the complexion like for traffic relative to conversion and any callouts? Also on all the progress you're making on non-parka as well, I would love your thoughts on catalysts ahead there and also the things we should note on the margin contributions to that. And then finally, Greater China and the focus on that region, how have trends been in terms of sequential improvement and run rates that you're seeing with that volatile market?
Carrie Baker: Oliver, thanks for all of your questions. I'm going to try to remember them all. First one was on traffic and conversion in DTC. So as you talked about, we made a specific investment in labor investment in those stores, and we saw that deliver. And so global store conversions has trended higher now for 4 consecutive quarters. We're seeing that being led by APAC and North America. So EMEA conversion lagged a little bit. But as we talked about, lots of initiatives underway to improve that and mitigate sort of the broader macro pressures that we see mostly in the U.K. So in e-com, we also saw strong traffic. And again, this was a direct result of the investment that we made in marketing. The job in marketing was to drive brand heat, bring back some momentum, make sure that people are seeing the new products and just showing up in a bolder way. And so that did drive the traffic. So that investment is paying off. So we're very happy with the traffic we're seeing, conversion improving, and we want to see that continue into the Q4 and beyond. In terms of products, so non-parka, we heard Neil talk about how we are making great progress with expanding our assortment being more relevant 360 days of the year. And so we saw more growth in our other categories, so non-heavyweight down. We still see meaningful growth. We saw really strong response to newness, whether that's actually new styles in some of our core categories or newness, meaning our classic bombers, our classic bestsellers in new fabrications, new colorways. So we really -- I'm very happy with the response that we saw in both of those. But the intention is to make sure that we have a product assortment that is relevant outside of just Q3, and that's what we're doing. That's what we're seeing. And from -- okay, Greater China, that was the other one that you asked about. So we're seeing -- that's one of our strongest markets. When you look at the investment that we've been making for a number of years, what we look at when we see -- when we look at the competitive set, how we're doing relative to that, we are seeing demand very strong. So the performance in Mainland China specifically continues to perform well. We see strong digital momentum. We see healthy store performance. That's both better traffic, improving conversion and again, that really strong response to our newness. So very happy with what we're seeing there. The shift, I think, in terms of Lunar New Year, we saw a bit of a shift of demand out of December and closer and moving into Q4. And so we've started to see that pick up. And as we get closer and closer to the Lunar New Year holiday, we expect that to continue.
Beth Clymer: Oliver, there was a part of your question we struggled to hear a bit. Can you repeat that one for us?
Dani Reiss: If there was any aspect of your question, I...
Operator: Pardon the interruption. He has disconnected. Your next question comes from the line of Rick Patel with Raymond James.
Suraj Malhotra: This is Suraj Malhotra on for Rick Patel. So how would you describe the level of newness in stores right now? Specifically, what share of today's floor set is new, year-round relevant product versus core product? And looking ahead, are you comfortable with where the assortment and merchandising sits today? Or do you plan to increase the mix of newness to drive more year-round relevance?
Carrie Baker: Thanks, Suraj. So we're really happy with the assortment. So I'll kind of repeat what was said in some of the remarks that expanding product relevance, that is working. And so the newness, lighter weight, year-round categories, they all outperformed heavyweight down, but that shift is intentional. And so in terms of newness, the newness performance revenue doubled year-over-year. And so that's intentional. We want to bring newness to the floor. We want to be able to drive repeat visitors, bring people back to see something new. And the commentary around newness, I just want to make clear, newness, we see that as it needs to resonate as newness to the consumer. It doesn't necessarily mean we're introducing a ton of new styles. It means we're animating some of our best sellers, which I just talked about. So that is working. The response to -- people love the Chilliwack. We've had that in our product line for 20 years, but now they get it in a new fabric. Now they get it in a new puffer version. And so that is working. So I would say the balance in terms of what we're putting in store and online is a mix of that. How do we make sure that people that know and think about Canada use for protection, for work, can come into a store and get what they need as well as, "Wow, I'm surprised by something that I never knew we offered." So apparel, our everyday, our rain categories, all of our major categories are growing. And so we're really pleased with that response, and we expect that to continue. We're watching it carefully. Obviously, we don't want to get over skewed. We don't want to have a too big an assortment for the size of our offering -- our stores. But right now, we're feeling very comfortable with that mix.
Operator: Your next question comes from the line of Jonathan Komp with Baird.
Jonathan Komp: Neil, helpful commentary on some of the margin initiatives you're kicking off here. I guess bigger picture stepping back, I think at one point, the discussion was around 50% plus incremental margin on DTC revenue recovery. So maybe just a broader postmortem, what's gone differently? And how quickly can you address some of the issues today on the operating margin, especially since there's 3 quarters ahead of lower seasonal sales volumes here, which typically have been tough to show progress?
Beth Clymer: Jon, this is Beth. I'll take that one. Thanks for your question. I guess if we step back, it's worth framing the margin journey we've been on over the past 2 years, right? Priority #1, Phase 1 of that journey was to rightsize corporate costs. We did that, that is sustaining and is serving now for the second year in a row is really nice source of leverage. Second, driving sustained positive comps, reinvigorating that brand heat and excitement through those first 3 operating imperatives around product and marketing and D2C execution. And then third, leveraging that strength to drive meaningful margin improvement, right? Those are the 3 steps. We've achieved step 1. This year is the year we are excited to be able to say we have decisively achieved step 2. We've delivered our fourth straight quarter of positive comps. We've got really nice positive indicators in terms of sell-through new products, like you just heard from Carrie, brand heat measures like you heard from Dani in our opening remarks. So we feel that we've really got step 2 locked. Now the focus can shift to step 3. We're not done with step 3, right? So your question around the incremental profit flow-through of D2C growth, that's what comes in step 3. And so the margin results this year, I think, are helpful to see in that context. So this year, obviously, this quarter, in particular, we saw some unusual margin compression from some of these discrete nonrecurring items. Those make up 2/3 of the SG&A margin compression in the quarter. So very material. When you put those aside, we did still compress margin, SG&A as a percent of revenue by 150 basis points. But that is all the margin initiatives you heard from Neil in our opening remarks are all about improving that, driving store cost efficiency, marketing efficiency, sustaining the corporate cost leverage, getting gross margin, those are the things that will get us back towards that really attractive D2C flow-through that you described. There's nothing fundamental to our economic model that doesn't make that level of flow-through possible. But part of the reason you didn't see us achieve it yet in this quarter was that investment in the things to accomplish step 2 and really drive that sustainable positive comp growth.
Jonathan Komp: Okay. I appreciate that. And then just as a follow-up around the practice for guidance here. I think part of the issue for the December quarter is it's hard to model out some of the discrete issues without more clarity. So just any thoughts still on not providing any forward visibility? And specifically on the level of margin expansion for fiscal 2027, it would be very helpful to give some context around that comment in terms of quantifying the opportunity?
Neil Bowden: Sure. Yes. I mean, Jon, I think, obviously, we're just about through the end of this fiscal year. I'll give a bit of direction on what we're looking at for performance to date in Q4. As we usually do when we get to the end of the fiscal, we'll talk about what our plans are for fiscal '27. And at that time, look to give some more color and just have to stay patient for at least one more quarter.
Operator: Your next question comes from the line of Brooke Roach with Goldman Sachs.
Brooke Roach: Can you help contextualize the relative contribution you expect to see from each of the 3 focus areas for operating margin into fiscal '27? What gives you confidence that you can maintain the strong top line comp and conversion momentum that you've achieved this year as you start to adjust the labor model and reduce marketing spend?
Beth Clymer: Thanks for the question, Brooke. The investments we made this year and last year are investments that we believe when we made them, and we still believe now that we are seeing their impact are investments that will fuel growth in the short, medium and long term. So for example, this year, our marketing investments were very focused in the top of funnel. Changing how we show up to the consumers, changing where we show up to the consumers, the message that -- those aren't investments that pay back in the month or even in the quarter of the year. Those are investments that are changing the hearts and minds of consumers and pay back over time. And so that gives us -- and some of those are onetime investments that are repositioning, how product photography shows up, things like that. So we can pull back those investments without actually changing the frequency at which our media shows up in front of consumers, et cetera. And so there are -- because the nature of these investments were medium and long-term payback, that means that we can begin to get some leverage on them without impacting growth. And in fact, the impact of those investments will build. Same thing is true in store labor. A lot of our store labor investment this year, yes, was more staffing in critical time periods than peak, but it was also more labor in the stores in June, July, August, September so that the store brand ambassadors were trained up. That training bear fruit next year and the year after. And so these are investments that were incremental to the P&L this year, but are normal course and effect, sources of leverage as the effectiveness of them build. And so that's how we get comfortable with that. It's not like all of our incremental investment this year was a whole bunch of paid media to drive in-month conversion, right? It was much more strategic substantive focus on brand relevance, which is what gives us confidence that we can moderate those and have it become a source of leverage while simultaneously driving the top line growth. In terms of relative contribution, there's massive opportunity in all of these. And so our focus is across all of them. I think it would be premature to comment on which one might contribute more or less or faster or slower. But we have -- we believe we have real opportunity in each of these areas. And more importantly, we believe we have the plans to execute and drive margin improvement in all 3 of those focus areas.
Operator: That concludes our question-and-answer session. I will now hand it back over to the management for closing comments.
Ana Raman: So thanks, everyone, for joining us today, and please reach out to Investor Relations if you do have further questions. We'll close the call with that. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.